Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Triumph Group Conference Call to discuss our Fourth Quarter and Full Fiscal Year 2015 Results. This call is being carried live on the Internet. There is also a slide presentation included with the audio portion of the webcast. Please ensure that your pop blocker is disabled if you are having trouble viewing the slide presentation. You are currently in a listen-only mode. There will also be a question-and-answer session following the introductory comments by management. On behalf of the company I would now like to read the following statement. Certain statements on this call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause Triumph's actual results, performance or achievements to be materially different from any expected future results, performance or achievements expressed or implied in the forward-looking statement. Please note that the company's reconciliation of non-GAAP financial measures to comparable GAAP measures is included in the press release, which can be found on the website at www.triumphgroup.com. In addition, please note that this call is the property of Triumph Group, Inc., and may not be recorded, transcribed or rebroadcast without explicit written approval. At this time, I would like to introduce Richard Ill, the company's President and Chief Executive Officer; and Jeffrey McRae, Chief Financial Officer and Senior Vice President of Triumph Group, Inc. Go ahead Mr. Ill.
Richard Ill: Thank you and good morning everybody and welcome to our fourth quarter and full fiscal year earnings call. It’s good to be here and talk to you all of you again about our latest results. Before I get started on our many initiatives and our quarter, I’d like to acknowledge Jeff Frisby, particularly, for his many contributions and stewardship as CEO during a critical period in Triumph’s development. We wish him well and all the best in his future endeavors. Addressing many of the issues with regard to our search for a new CEO to succeed me, the process is underway and the Board will take the time necessary to find the right leader to succeed me. For those of you who are relatively new to Triumph this is not a new role I’m stepping into. I am Triumph’s Founder and was CEO for more than 20-years. I have a deep and personal commitment to this company we have build through the years and I am confident that we will realize Triumph’s full potential as a premier aerospace manufacturer and supplier. I have spent the last three weeks getting back into the mix. We have recently met with our company Presidents and Senior Management at our Annual Management Meeting and we discussed my initial observations and priorities. I have also been meeting or speaking with key customers, suppliers and other stakeholders in our company. Triumph was built company-by-company to create a diverse and highly flexible organization that can compete and win at any level of the aerospace supply chain. We have become one of the most sophisticated design, development and manufacturing companies in the world. Frankly, we have not been performing to our potential and the expectations that we have set for ourselves. Triumph has many strengths and it’s time to raise a sense of urgency and meeting our financial metrics and meeting our objectives as well as raising the importance of accountability throughout the organization. For example, we have expertise and extensive capabilities at virtually every level of the aerospace supply chain, but we need to begin rationalizing our purchasing decisions both inside and outside the company. It’s important that we take advantage of the know-how and expertise we have across our business segments. Let me talk a minute about some near-term priorities. We are in fact now conducting a comprehensive review across our entire enterprise. We are taking a hard look internally to find the areas to enhance operating efficiencies, increase profitability and reduce costs. We intend to take advantage of the economies of scale made possible by assembling such a diverse and talented organization. We are identifying areas of apparent duplication and redundancy. Our objective is to adopt technologies and best practices that will allow us to serve our customers even better. We are focusing on implementing cost reduction initiatives to enhance footprint and reduce footprint where appropriate. We have recently hired a Vice President of Supply Chain Management and will work with suppliers to centralize relationships and leverage power of operating companies. We may decide to combine companies under a single management team. Going forward in order to enhance shareholder value and drive sustainable growth, we are focused on a improving execution, increasing profitability, expanding margins, generating strong cash flow, leveraging strength of our portfolio and as I said reducing costs. Overall, we are intently focused on driving growth and value for our shareholders. Let’s turn to our results for the quarter before Jeff gives us some specifics. We reported today record net quarterly sales, we generated strong cash flow from operations and our backlog increased over $5 billion. Aerospace Systems Group and Aftermarket Services Group continue to perform well. There are strong businesses and growth drivers. We delivered another quarter of strong operating margins with both growing on a sequential quarterly basis. Aftermarket Services organic sale grew year-over-year. The Aerostructures segment improved with the recent transferred Gulfstream wing programs progressing very well. However, segment performance is not yet at the level we expect going forward. During the fiscal year we strategically invested in each of our three businesses segment to enhance their competitiveness and make them more profitable. Aerostructures, we replaced outdated and inefficient Jefferson Street facility with the new state-of-the-art manufacturing center in Red Oak which is now fully transitioned. We assumed programs and people in Tulsa when we took over the Gulfstream 650 and G280 wing programs, which is an excellent strategic fit and compelling value proposition for us. Aerospace Systems Group acquired GE Aviation’s Hydraulic Actuation business along with proprietary technology utilized by Boeing, Airbus and other major airframers, enhancing our aerospace systems offering. Aftermarket Services acquired North American Aircraft Services, a leading provider of plane-side MRO services for aircraft fuel systems, which has expanded our third-party Aftermarket business and our service offerings to our global customers. Turning to our outlook going forward here. Fiscal 2016 as many of you will also know – already noted will be a transitional period for our company. We are in the process of conducting a comprehensive review of all our operations given these circumstances as you noted we will not be providing financial guidance at this time. We will let the market know when we have a more clarity on this front. We don’t want to get ahead of ourselves. With that, I will turn the call over to Jeff McRae to discuss our financial performance for the quarter and our full fiscal year. Jeff?
Jeffrey McRae: Thank you Rick and good morning everyone. I will start on Slide 4 with review of the financial results for our fourth quarter. Net sales for the fourth quarter were record $1.080 billion up 15% from the prior year period, although organic sales declined 2% with lower deliveries on the C-17 and 747-8 programs. Operating income for the quarter increased 74% to $140.7 million which included approximately $4.2 million in pretax cost related to the Jefferson Street/Red Oak facility transition. Excluding these costs, operating income was $144.9 million reflecting an operating margin of 13.4%. The prior years fourth quarter includes approximately $48 million of non-recurring cost. Net income was $82.8 million resulting in earnings per diluted share of $1.66 versus $0.80 per diluted share for the prior year quarter. Excluding the non-recurring costs for both period net income was $85.5 million or $1.71 per diluted share versus $1.39 per diluted share for the prior year’s quarter. The number of shares used in computing diluted earnings per share on an adjusted basis for the quarter was 50 million shares. Modified adjusted EBITDA for the quarter was $149.1 million resulting in a 14.3% modified adjusted EBITDA margin and included a reduction of $20.5 million for the amortization of acquired contracts associated with the Gulfstream 650 and 280 wing programs for which we previously received an upfront cash payment of $160 million. Although we have reduced EBITDA for this amortization, we view this as a conversion of cash receipts to earnings and we remain confident that at no time we will be in a net negative cap position on these programs. Turning now to our full fiscal year results. Sales for the fiscal year increased 3% to $3.9 billion, operating income was $434.7 million versus $400 million for the prior fiscal year. Included in operating income for the fiscal year was approximately $59.9 million of non-recurring items that we have detailed in the next slide for you reference. Excluding these items operating margin was 12.7% for the fiscal year. The prior fiscal year included approximately $71.8 million pretax for non-recurring cost. Excluding these items operating margin was 12.5% for the prior fiscal year. Net income was $238.7 million resulting in earnings per share of $4.68 per diluted share versus $3.91 per diluted share for the prior fiscal year. Excluding the non-recurring cost for both period net income was $292.1 million or $5.73 per diluted share versus $4.80 per diluted share for the prior fiscal year. The number of shares using computing diluted earnings per share for the fiscal year was 51 million shares. Adjusted EBITDA was $382.6 million excluding the impacts of 747-8 the forward loss recognized last quarter and the cost associated with the Jefferson Street/Red Oak facility transition. Modified adjusted EBITDA was $551.5 million resulting in a 14.5% modified adjusted EBITDA margin. Now turning to our segment performance, sales in the Aerostructures segment for the quarter increased 11% to $704.5 million which included revenue of $90.7 million associated with the G650 and G280 programs. Organic sales for the quarter declined 3% primarily due to increase production in the C-17 and 747-8 programs. Fourth quarter operating income was $86.9 million and included $4.2 million of pretax cost related to the Red Oak facility transition and a net unfavorable cumulative catch-up adjustment on long-term contracts of $1.2 million, this was primarily related to the C-17 program. Keep in mind we are producing the last units on the C-17 program in the first quarter of FY2016 as we then transition to spares and repairs. Excluding the Red Oak facility transition costs and the 747-8 program, segment’s operating margin for the quarter was 15%. With respect to the 747-8 program we did not see any material change in our estimates for the balance of the contract and remain confident in the forward loss position that we established in the third quarter. Our Red Oak facility continue to show good progress during the fourth quarter and as fully recovered to pre-move performance levels in all programs expect for C-17. And we have also continued to make good progress on the build of the initial test article wings for the Bombardier 7000/8000 program in Red Oak. The next slide shows the cash profile for the Gulfstream 650 and 280 wing programs. As Rick mentioned we have been pleased with the progress made to date on both programs. Our top priorities continue to focus on meeting our customer’s delivery expectations driving improved performance in Tulsa, transitioning work currently being performed by Gulfstream on the 650 program in Savannah to our Nashville facility and driving value to the supply chain both internal and external. Today, we have made good progress on all fronts. We are delivering wings ahead of schedule to both Gulfsteam and IAI we have seen continued improvement in labor performance and quality in Tulsa, and we are staying ahead of our plan on work package transitions and supply chain improvements from both a schedule and cost perspective. The actual cash burn for the quarter was lower than expected at approximately $22 million and we remain confident in turning these programs cash flow positive by the end of fiscal 2018. With G650 program in much better shape than the G280 program. This will be done within the confines of the $160 million of cash consideration received from Spirit with the transaction, and we’re still confident it will be sufficient to fund the program through that period. Aerostructures adjusted EBITDA for the quarter was $87.9 million at an adjusted EBITDA margin of 12.9%, which did include the reduction of $20.5 million for the amortization related to the Tulsa programs. For the fiscal year sales for the Aerostructures segment decreased 4% to $2.5 billion versus $2.6 billion in the prior year driven by lower production on the C-17, 747-8, V-22 and Gulfstream G450 and 550 programs. Operating income decreased to $127.5 million with an operating margin of 5.1%. Adjusted EBITDA for the fiscal year was $188.9 million excluding the impact of 747-8 forward loss and the Jefferson Street/Red Oak facility moved cost, modified adjusted EBITDA was $357.8 million with the modified adjusted EBITDA margin of 14.5%. Moving on to our Aerospace Systems segment. Sales for the fourth quarter were record $301.2 million compared to $235.3 million in the prior year period an increase of 28% reflecting 3% organic decline driven by reduced production rates on V-22 as well as military aftermarket was down versus the prior year period due to completion of certain upgrade programs. These declines were offset by the impact of the acquisition of the GE Hydraulic Actuation business. Fourth quarter operating income increased 37% from the prior year quarter to a record $58.6 million, with a record operating margin of 19.5%. Organic operating margin for the quarter was 19.1% as compared to 18.2% in the prior year. Adjusted EBITDA for the quarter was $59.8 million and an adjusted EBITDA margin of 20.7%. For the fiscal year sales for the Aerospace Systems segment increased 25% to $1.1 billion versus $871.8 million in the prior year, of which $204.4 million was attributable to the acquisition of the GE Hydraulic Actuation business. Operating income increased 23% over the prior year to $184 million with an operating margin of 16.9%. The integration of the GE Aviation Hydraulic Actuation business continues to progress well, and we are tracking ahead of our synergy realization plan. As expected their margins were dilutive to the segment margins in the fiscal year, but we continue to develop and execute on plans which will drive segment average margins from this business in the mid-term. Adjusted EBITDA for the fiscal year was a $192.2 million at an adjusted EBITDA margin of 18.3%. Continuing with our segment reviews, sales in the Aftermarket Services segment in the fourth quarter were $81.4 million compared to $70.5 million in the prior year period, an increase of 15%, reflecting 6% organic growth and the impact of the Triumph Aviation Services-NAAS Division acquisition completed in the third quarter. Fourth quarter operating income increased 15% over the prior year quarter to $13.3 million, with an operating margin of 16.4%. Adjusted EBITDA for the quarter was $15.7 million with an adjusted EBITDA margin of 19.3%. For the fiscal year sales for the segment increased 6% to $304 million versus $287.3 million in the prior fiscal year. Operating income increased 13% over the prior year to $47.9 million with an operating margin of 15.8%. Adjusted EBITDA for the fiscal year was $56.5 million, at an adjusted EBITDA margin of 18.6%. Overall, we have continued to see strong performance in both our Aerospace Systems and Aftermarket Services segments. Turning now to backlog, our order backlog as of March 31 was approximately $5 billion, a 6% increase year-over-year. For your reference we have included the top 10 programs by backlog for both the Aerostructures and Aerospace Systems segments. You will note that with the inclusion of the full backlog acquired with this G650 and G280 wing programs, the Gulfstream programs in the aggregate are now the top program in the Aerostructures segment. For the fourth quarter Boeing and Gulfstream were our only customers to exceed 10% of total revenues. Net sales to Boeing commercial military and space totaled 38.4% of our revenue and Gulfstream represented 13.1% of the fourth quarter 2015 total sales. For your reference we have also included in the appendix, charts reflecting sales by market and sales trends. Turning to the balance sheet, for the year we generated $579.7 million of cash flow from operations before pension contributions of $112.3 million. After these contributions cash flow from operations were $467.3 million. This does not include the receipt of $160 million from Spirit related to the transfer of the G650 and G280 wing programs. The fourth quarter cash was aided by a higher level of customers answers and strong collections on accounts receivables, which will impact first quarter cash flow expectations. And as mentioned we realized lower spending related to the Gulfstream 650 and 280 programs than we had expected. Inventory at March 31, reflected an increase of $166 million, during the year of which approximately $175.6 million was attributable for non-recurring investments in the Bombardier and Embraer programs and $121.7 million was related to the acquisitions completed during the fiscal year. These were partially offset by an increase in customer advances of $24.9 million and the application of a portion of the forward loss related to the 747-8 program. Capital spending was $24.8 million in the quarter and a $110 million for the year. Net debt at the end of the fourth quarter was $1.3 billion, representing 38.7% of total capital and total debt to trailing 12 months adjusted EBIDTA was 2.55 times. During the quarter we did a repurchase 1.2 million shares for approximately $69.7 million and as of March 31, approximately 2.3 million shares remained under the share repurchase authorization. The global effective tax rate for the quarter was 35.2% and reflected the fact that the R&D tax credit expired on December 31, 2014. In addition, the effective income tax rate for the quarter was favorably impacted by the true-up of our financial statements state tax expense to the actual state tax returns filed. Next on the pension front. We have included for your reference a pension and OPEB analysis for Triumph Aerostructures for fiscal years 2015 and 2016 which reflects the updated valuation as of March 31, 2015. The overall pension liability did increase year-over-year by 14.7% driven by the incorporation of updated mortality tables which we have talked to previously combined with the lower discount rates use to value the liability. We did realize strong asset returns during the year which partially mitigated the growth in the net liability and we contributed $110 million to the plans during the fiscal year including $55 million contributed during the fourth quarter. We are projecting a pension benefit of $56 million in fiscal 2016 which is $4 million higher than the benefit realized in fiscal 2015. Additionally, we did reach an agreement with the UAW at our Marshall Street facility in April which included provision that will further de-risk our pension obligations to the employees and will most likely result in a on-time non-cash curtailment charge that would be realized in the first quarter of fiscal 2016. And with that, I will turn it back over to Rick.
Richard Ill: Thank you, Jeff. To sum everything up that we both said we are in fact taking a hard look at all our operations and we will operate with an increase sense of urgency. To repeat myself we are intensely focused on improving execution, profitability, expanding our margins, generating cash, leveraging the strength of our portfolio and reducing our cost. We have a lot of work to do at Triumph to realize our full potential and we are intensely focused on leveraging the strength of our portfolio to control costs and drive sustainable growth and value creation and I remain confident that we will in fact succeed. At that I will open it to any questions.
Operator: Thank you. At this time the officers of the company would like to open the forum to any questions that you may have. [Operator Instructions] Our first question comes from Steven Cahall. Please state your affiliation followed by your question.
Steven Cahall: Thank you, good morning from Royal Bank of Canada. Maybe a first question on the comprehensive review I think that was very helpful in terms of laying out the tenants. At this point is this generally a focus on the existing portfolio with a goal to improve or is it broader than this to also potentially look at possible changes to the portfolio?
Richard Ill: The simple answer to that question is yes. We are reviewing all of the potential alternatives with all of our companies and all of our segments where the first step to take on that is improving the profitability and the execution across our company and operate in a more satisfactory fashion for our shareholders. What we are reviewing a number of the alternatives that we may have including the integration as I mentioned with some of our locations and other alternatives with some of our locations.
Steven Cahall: Okay, that’s very helpful. And then maybe Jeff, one for you on the margins if I just look at the Q4 margins pretty strong across the board plus we have the amortization from Gulfstream in there I know you are not giving guidance for 2016, but is there anything in any of the segment margins that we would be amidst to start to extrapolate forward into the following years at this point and I know you could have some things like restructuring costs, but just on an organic operating basis how can we think about those segment margins?
Jeffrey McRae: Yes, Steve I mean as we look at the performance we’ve seen in our aerospace systems segment as well as our aftermarket services segment. We have been very please with what we’ve seen there, we’ve start seeing strong sequential growth from a margin standpoint some of that is driven by timing of certain activities we have historically had strong fourth quarter as where there are some specific orders that we have on the after market side that come into play in the fourth quarter. So I would necessarily extrapolate fourth quarter looking forward, but I do believe as we look at the full-year margins in both of those segments that it would be fair to extrapolate that. Obviously, as Rick talk to there is a lot of things we are looking at how we will drive improvement much of that is focused within the Aerostructures business but that doesn’t say that there aren’t opportunities that we will continue to drive within the other two segments. Within Aerostructures obviously we have not performed at the levels that we would hope to in that segment and there is been a number of issues that we’ve talked about in prior quarters that we are still managing through. So I would expect a lot of the focus looking forward to be in that segment and as we take our deep dive I think we’ll see where the opportunities are and what we can do from a margin perspective in that segment.
Steven Cahall: And just a follow-on to that in the Aerostructures margin, do you have any tailwind in 2016 from the non-cash amortization from Gulfstream?
Jeffrey McRae: As we think of the amortization related to Gulfstream, we would expect to continue to see a quarter-over-quarter improvement from a cash burn perspective and we are still confident that the cash received from Spirit is sufficient to allow us to execute until the point in time we drive that cash flow positive. On a margin perspective in the fourth quarter we’ve recorded total revenue roughly of $90 million on the G650 and G280 program that resulted in roughly a EBIT margin of roughly 10% which included the $20.5 million of amortization of flow through.
Steven Cahall: And my question is that $20.5 million is that start to tail-off as we get further down or does that say flat for the foreseeable future I mean for instance in 2015 I know we had some similar non-cash amortization related to the transition I think that’s all done now, so we get a little bit of tailwind going into 2016, so I am just wondering if it’s the same from the Gulfstream amortization.
Jeffrey McRae: Yes, as I think of fiscal 2016 Steven its stays fairly flat but the positive will start seeing is as we start improving performance within those programs. We should see some tailwind from an improvement in the overall margin perspective, but that will come as - I’ll depict as true cash margin as opposed to related to the amortization.
Steven Cahall: Great. Thank you.
Jeffrey McRae: Thank you.
Operator: Our next question comes from Myles Walton. Please state your affiliation followed by your question.
Myles Walton: Deutsche Bank. Good morning welcome back Rick, it’s been a while. I’m going to have to hang up this golf gloves for a little bit. Question for you on I know you are not giving guidance, but at a high level is there anything that prevents fiscal 2016 from growth in earnings at middle of your transition year and you had probably a little bit of pull forward on cash but what about from a growth and just a high level view top line and bottom line on EPS.
Richard Ill: First of all I don’t want anybody to read too much into the fact that we are not giving guidance at this time, and then very simply on issue that we want to take the time to look at not only each segment but each company was in Triumph Group and come up with a number both from a cash perspective and an earnings perspective that we think is realistic and clearly we are going to be looking for growth, but at this point in time I really have to delay answering the question specifically because we really don’t have and then obviously we have ideas but we’ve got to continue to look at the possibilities and the changes we’ll make to look at the pluses and minuses and come up with the guidance that is realistic for all of you and our shareholders. So I apologize for putting that question off to a certain extent but as I said before we’re confident that we are going to create and meet all our goals as we go forward.
Myles Walton: Okay I mean it does sound like your commentary points towards taking steps forward and any step back you take as more proactive to improve the operation I’m just and I guess that’s the takeaway message in a nutshell. So the other one I have for you though was I guess on the amortization, what is the total number you expect for fiscal 2016. I think you said roughly flat, but I didn’t read if that was flat with the fourth quarter or flat with the year for contract liabilities?
Jeffrey McRae: Yes, in my comment Myles was flat as it relates to the G650 and 280 programs. Overall, our projected amortization for fiscal 2016 is roughly $124 million.
Myles Walton: Okay. And then the other one so as it relates to the G650 performance and 280 performance in the quarter, you under ran the cash burn that you projected was that - are you qualifying that as timing or improved performance versus your initial expectations would you expect to have the same net cash burn over the course of the program at this point or have you actually improved that view?
Jeffrey McRae: Yes, I would say it’s a little of both. I mean we’ve been very pleased with the performance of Tulsa coming out of the gate. The workforce in Tulsa has responded very well post transaction. We’ve seen very little disruption at any that we had build into our modeling early on. So I would say performance has been positive, there is some timing as we manage cash within that facilities, we manage it across the enterprise that would flow into fiscal 2016, but I would still be confident in the projected burn that we’ve laid out for fiscal 2016 at this point in time. And I believe we’ll continue to drive improved performance against that.
Myles Walton: Okay, and one last one also on cash? So the pre-production inventory I think I heard you say 175 was the growth, was that true and then for 2016 I’d think assumingly larger step down in the level of growth in that pre-production inventory.
Jeffrey McRae: Yes, you’ve got the number right Myles. And what we’ve talked to previously is with Bombardier, we would expect that coming down by a half, fiscal 2016 versus fiscal 2015, whilst the Embraer program probably remains fairly constant through fiscal 2016. Bombardier we’ve now delivered a couple of test articles the engineering is stabilizing, there is still work in front of us to do, but definitely the spend rate is coming down. Embraer tends to be about a year behind from a development standpoint. So we would see pretty flat spending on Embraer year-over-year.
Myles Walton: Okay, thanks again. Welcome back Rick.
Richard Ill: Thanks, Myles.
Operator: Our next question comes from Sam Pearlstein. Please state your affiliation followed by your question.
Samuel Pearlstein: Wells Fargo. Good morning.
Richard Ill: Good morning, Sam.
Jeffrey McRae: Good morning, Sam.
Samuel Pearlstein: Jeff if I can just follow-up on that last question, if I just think about 2016 versus 2015 cash flow, if there is three more quarters of Tusla, that seems to offset the lower pension contribution, so are there any other big moving pieces is to why cash flow couldn’t be similar in 2016 versus 2015?
Jeffrey McRae: Yes, we are not going to try to guide you to cash flow 2016, but I think we’ve talked in the past of the big drivers, it ends up being the level of capital, ends up being the investment in non-recurring programs, it ends up being the pension contribution. And then the one other variable out there is taxes and we still anticipate becoming a cash tax payer in fiscal 2016, we still think that’s at a roughly a 10% cash tax rate for the year.
Samuel Pearlstein: Okay. And then Rick, any sense is to how long the review will take and at what point you’ll feel comfortable that you have a plan in places to what to do next and what the implications are for the different business units?
Richard Ill: Well, I think that the review and the changes that will take place probably will take place over the whole next year, but we would expect that we would be giving some clarity to all of you on a relatively short basis. We have a Board of Directors, who is looking for the same information maybe more detail than you even have. So this is not something that we are going to drag our feet on, however the changes and the improved effectiveness might take a little bit longer than the clarity we give you numbers wise.
Samuel Pearlstein: Okay, I appreciate that. And Jeff, one last question can you size the curtailment that you said might show up in the first quarter?
Jeffrey McRae: At this point, I can’t Sam it’s highly dependent on the valuation that we will complete here in the first quarter which is dependent on the actuarial assumptions that I will go into it as well as discount rates and those type of things. I wouldn’t expect it to be of the same magnitude that we’ve seen previously so if we think of the curtailments we took in fiscal 2014 it should be smaller than that, but until we get through all the actuarial analysis we really can’t size it.
Samuel Pearlstein: Okay, that’s great. Thank you.
Operator: Our next question comes from David Strauss. Please state you affiliation followed by your question.
David Strauss: Good morning, UBS.
Jeffrey McRae: Good morning, David.
David Strauss: Good morning. Back on the global Bombardier seem to in at some delays in that program could you just talk about kind of how you see things from your perspective?
Richard Ill: Well I think that I can’t speak for Bombardier I can’t speak for what they are saying, we don’t see any current holdup and what we are doing for them we do see issues that might affect Bombardier going forward, but that’s well forward. Don’t’ forget that’s not supposed to be at full until 20 whatever it is 2020, 2021. So we are readied on that, but we do see some issues I mean they are still working on some very significant issues such as weight issues and things like that. So that – if that’s a holdup that’s part of the holdup, but we don’t see the program coming to a halt at this point in time, we’ve got a lot of work to do for them.
David Strauss: Okay, Jeff another question on the cash flow side obviously on the inventory side we have a sense of what’s going to happen there, but the rest of the working capital account show pretty good performance in 2015, how are you thinking about working capital in 2016?
Jeffrey McRae: Yes, as I mentioned in the fourth quarter we were benefited by certain advances from customers, we also had fairly strong collections on receivables, we’ll continue to focus on cash from a working capital perspective going forward as you all seen historically we do have lumpiness based on the nature of some of our businesses were we either get milestone or advances and you have strong quarters followed by weak quarters, but overall I think we’ll continue to focus on working capital and then try to drive the same things we saw on the fourth quarter during fiscal 2016.
Richard Ill: David, you didn’t ask me that question, but I would expect our working capital management to be better.
David Strauss: Okay.
Richard Ill: For all the employees listening in on the call.
David Strauss: Right. My last question Jeff you had given us some color on the moves on the pension side, can you just give us what your deficits stands as of the end of the year I think it was $220 million at the end of fiscal 2014 where it sands today?
Jeffrey McRae: Yes, the deficit on the pension plan itself as grown roughly 14% and I don’t have the number right in front of me it’s in the low 300s from a deficit standpoint, so the liability grew by 14% which was driven by mortality tables and a lower discount rate than where we had been in the prior year.
David Strauss: Right, okay so liability was up 14%, but there was some offset so roughly in the $300 million range?
Jeffrey McRae: Yes.
David Strauss: Okay, thank you.
Operator: Our next question comes from Sheila Kahyaoglu. Please state your affiliation followed by your question.
Sheila Kahyaoglu: Jefferies. Good morning Rick, Jeff.
Jeffrey McRae: Good morning.
Sheila Kahyaoglu: Good morning. I’ll tell you one similar on you mentioned several times identifying opportunities to improve profitability. Can you maybe give us an idea of the relative magnitude of savings you are looking for is that several hundreds of billion how could we think about it?
Richard Ill: I really can’t because if I could identify all that we’ll able to give you guidance right now.
Sheila Kahyaoglu: Sure.
Richard Ill: And that’s exactly what we’re looking at some of those things as I mentioned will be shorter term when we look at things like working capital management and profitability and efficiency of production, some of them are a little longer-term as we mentioned in some of the integration of our companies, last year we accomplished an integration of – two of our relatively larger companies and that is been very successful and we’re going to continue to look at those, but those take a little bit longer period of time and as we consolidate - potentially consolidate some operations we have some upfront costs we’ve got to deal with when that happens, but as I say we’ve done it successfully before and we expect we’ll do it successfully again, but that’s a little longer term out I mean that might be third or fourth quarter and the first quarter of 2017, but its really hard right now until we identify all those and start working on them to give you a specific number I expect that it will be well worth or while and our shareholder while as we look at it.
Sheila Kahyaoglu: Okay, that makes sense. And then I guess on structures in terms of operating margins going forward maybe into 2016 should we think about the potential volume decline within the commercial programs offsetting Red Oak savings or is there still a benefit we should assume from Red Oak?
Jeffrey McRae: Yes, we definitely Red Oak specific our confidence in the business model we have there, C-17 ending a little bit sooner than what we had original thought going back two years ago and has some impact on that but we definitely have realized the fixed cost reduction from exiting Jefferson Street/Red Oak and we are now seeing the labor performance in Red Oak. As we think that the broader Aerostructures segments we are seeing some headwinds on other programs from a rate perspective so 747 will be down but we fully capture that from a margin standpoint last quarter we are seeing rate reductions on A330 that will create a bit of a headwind but we are confident that we can manage through that and we are seeing ramp ups and other programs such as the work we won on A320 and A350 that give us some offset to that, there is pluses and minuses I think as we look through it all and come out with guidance later in the year it will – we’ll be able to give you a little more clarity there.
Sheila Kahyaoglu: So it still $0.50 from Red Oak in 2016 about since that’s first full year I guess and then it seems like you could the program declines won’t offset that savings.
Jeffrey McRae: Yes, we still got to work through the number Sheila that kind of really get and understanding a lot of it will be some of the things that Rick talking about and what else can we do to positively drive execution and our cost structure.
Sheila Kahyaoglu: Okay and then just one last one within structures you didn’t mentioned V-22 or the 455, 450 declines of those programs stabilized for you now?
Jeffrey McRae: Yes, I mean year-over-year we saw declines in V-22 and the two Gulfstream programs. V-22 feels like it has stabilized we see some noise at times at the lower tiers from a customer stocking perspective, but it looks like rates are pretty stable there right. G450 and G550 we’ve seen declines during the year our modeling tends to assume that those programs will see additional declines as we move forward and specifically around as Gulfstream begins to build the 500 and 600.
Sheila Kahyaoglu: Thanks.
Operator: Our next question comes from Ken Herbert. Please state your affiliation followed by your question.
Ken Herbert: Hi, good morning Canaccord. I just wanted to first ask Rick specifically you’ve got obviously now this review you kicked off you got a new CEO search. How has this changed your thinking at least in the near-term on the acquisition front?
Richard Ill: I think that what we will see is - we’re an acquisitive company and I think that we’ll remain an acquisitive company I think that what you will see is that if we make any acquisitions that they won’t be relatively smaller and they maybe bolt-on type acquisitions at least in the near future, it’s difficult to focus on large acquisitions, when we’re concerned about our cash management A and our efficiency of operations of what we already have. So I think that we have companies that are in the pipeline acquisition wise, but we are going to be very careful on what they accomplished and what they add to our already existing type of operations that we have. And you might see that we integrate them upfront as opposed to waiting a longer period of time on an acquisition. So we’ll be in the acquisition business and there are companies there we are looking at, but we are clearly emphasizing our operations.
Ken Herbert: Okay, that’s helpful. And if I could specifically on the Aerospace Systems margins, obviously very nice quarter and I get the commentary Jeff about extrapolation for 2016, but where you stand in terms of the GE acquisition and when does that get to segment margin - segment averages and because I would imagine with that and with of course you talked about weakness on some of the defense aftermarket, you’ve had some headwinds specifically that we might see reverse here in 2016, can you provide any more detail on the aerospace systems margins then the outlook for 2016?
Jeffrey McRae: Yes, the one point of interest that I did call out is if you look at our organic margins for the quarter they were actually lower than our total margin in aerospace systems, which was largely driven by a strong quarter out of the GE business, some of that was aftermarket driven, some of that was timing of orders, but we’ve continue to see continued improvement in that business, we are hitting our synergy realization plans. I still think on a run rate basis we are still probably a year or two before we see them and have full comfort that they will be hitting at or above segment margins, but today we’ve been very pleased with performance of that business and the ability to drive improvement in the business.
Ken Herbert: Okay, that’s helpful. And if I could just finally - to your point on the slower sales on the defense and military aftermarket. Are you getting any sense that reverses soon and you start to see growth against what would be - should be to meet your comps moving into 2016?
Jeffrey McRae: Yes, I would say we made a comment in aerospace systems, there is a couple of programs that we had completed in the end of fiscal 2014 that didn’t carry forward and realize the benefit in fiscal 2015. Overall from a military aftermarket, I would say the last two quarters, we haven’t seen step function improvement, but we’ve seen gradual improvement primarily in our aftermarket services segment where we are seeing sequential improvement quarter-over-quarter. We still think there is more there and there is still a level of pent-up demand, but we have seen some improvement quarter-over-quarter.
Ken Herbert: Okay. Thank you very much, and welcome back Rick.
Richard Ill: Thank you, Ken.
Operator: Our next question comes from Steve Levenson. Please state your affiliation followed by your question.
Stephen Levenson: From Stifel. Good morning Rick and Jeff.
Jeffrey McRae: Good morning, Steve.
Richard Ill: Good morning, Steve.
Stephen Levenson: In the past strategy particularly on the aerospace system side is for the different operations to maintain their identities, and I guess it’s partly because of the customer base is there a plan to change that as part of the consolidation efforts and do you have to get an okay from customers or is that something that just going to proceed with to get the best result?
Richard Ill: Generally speaking that’s not going to change, but as I mentioned we are looking at the integration of certain businesses together within the Aerospace Systems Group and the other group for that matter. And as that happens many of our customers we have to get approval to meet to move a product from one plant to another plant, normally that is not an over bearing thing to do, but yes we do have to get approval. But that’s one of the things that take sometime on the integration, but the name of our companies will basically remain the same unless we get to an integration that we have to get an new identity in the marketplace then we might change a name, but basically the same philosophy will hold true and obviously not all of our companies will get integrated. So we’ll go forward in that while we dealt with company-by-company or plant-by-plant.
Stephen Levenson: Got it. Thank you. Second are there any internal candidates for the CEO spot or are you looking primarily outside.
Richard Ill: No there is going to be some internal candidates, the board has formed as I think with public knowledge – the board was formed a search committee and they are going to review and interview a number of search and they will conversely do an their interview outside possibilities and internal possibilities.
Stephen Levenson: Okay, thank you. And last on our 777 going over to the 777, do you expect to at least retain you current work package and you also expect to get additional market? It maybe little early, but if you would ask.
Richard Ill: I think its little better I think as you know Boeing as made the announcements that they are brining their 777x in-house, but that still means that they are going to have some business outside that would be shipped to Boeing and we expect that we will pickup some of that business that led outside by Boeing.
Stephen Levenson: Okay, thanks very much.
Operator: Our next question comes from Michael Ciarmoli, please state your affiliation followed by your question. Michael your line is open.
Michael Ciarmoli: Can you hear me guys.
Richard Ill: Yes.
Jeffrey McRae: Yes, good morning Michael.
Michael Ciarmoli: KeyBanc, thanks a lot guys. Welcome back Rick.
Richard Ill: Thank you.
Michael Ciarmoli: Rick, just is it safe to say here as you guys are looking at sort of an overall strategy and retooling strategy that viewing the company’s 47 operating units that used to be viewed as a competitive strength. Is it fair to say that you guys are going to aggressively attack that structure and try and shrink the footprint just given the kind of behaviors we are seeing from Boeing and partnering for success? I mean does that the fair way to look at what you guys are going to try and do here?
Richard Ill: I think that on a very, very broad basis I’d say that was is one of the things were in fact – but very frankly we still agree with the philosophy of bringing the accountability as low as possible within our company and our individual sites and that holds true not only for the individual company’s, but the sites within some of those companies such as the Watt companies have a number of sites that they have accountability at the President or General Manager level within their company. Having said that you are right where we have a responsibility to look at everyone of our locations, everyone of our companies to make sure we are doing the right thing and we are taking care of our customers on a most efficient basis. So we will be looking at location, but not all of them will be integrated because we do also think that the products - to have the product portfolio that we have is an excellent one we can serve our customers on an individual as well as an integrated basis.
Michael Ciarmoli: Got it. Got it and what about supply chain I mean I think we first heard you guys mentioned consolidation of supply chain and integration well over a year ago, as anything progress there on those activities or just trying to get a sense of what’s been accomplished because it still sounds like you guys have a ton of runway left there and a lot of heavy lifting. So is that should we just think that not much as been achieved over the past year and a half or so on that front? 
Richard Ill: I think that if I mention that we are in fact and we have hired and he has been in his job throughout the same length of time that I’ve been in my new job Senior Vice President of Supply Chain Management and he is going to take over that so I think it’s safe for you to assume that we do have a very positive runway in supply chain management and I don’t really want to comment on what’s been accomplished in the past other than to say that we think we’ll accomplish a lot more in the very near future.
Michael Ciarmoli: Got it. Last one just regarding transparency on a go forward process, I mean you guys are one of the few suppliers out there that don’t give ships at content and we’ve heard the question about the A30, it would be much easier for us to sit here and say okay, you guys got 2 million in content we can accurately access this sort of headwind. Is that something you would consider disclosing content per platform on your major programs?
Richard Ill: I think that one of the reasons that we don’t give ships at content because we feel very sensitive to the fact that you wouldn’t have anything to do then if you we [indiscernible], but at this point in time we would probably maintain our practice of not giving that, but frankly it’s a subject that we haven’t really talked about recently.
Michael Ciarmoli: Fair enough.
Jeffrey McRae: Yes, Michael I think it’s fair to say we’ll continue to look at ways in which we could provide greater insight has two impacts as you see changes in the marketplace.
Michael Ciarmoli: Got it. Thanks a lot guys.
Operator: Our next question comes from JB Groh. Please state your affiliation followed by your question.
JB Groh: D.A. Davidson, hey thanks for sticking around I’ve got just one, Jeff could you address the backlog growth how much of that was organic and how of it was from the acquisitions?
Jeffrey McRae: Yes, and if we look at year-over-year growth we had roughly $800 million of that backlog relates to the acquisitions completed in fiscal year 2015 primarily the Gulfstream wings and the GE Actuation business.
JB Groh: So there was a little bit of growth excluding that could you give us kind of like and I guess I could figure out an organic book-to-bill but in other words?
Jeffrey McRae: Yes, it’s pretty small.
JB Groh: Yes, okay. All right, thank you. End of Q&A